Operator: Good morning, and welcome to the Gold Resource Corporation Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Following management's presentation, there will be a question-and-answer session. [Operator Instructions] I would like to remind everyone that this conference is being recorded today, November 5, 2025, at 12:00 p.m. Eastern Time. I will now turn the conference over to Chet Holyoak, Gold Resource Corporation Chief Financial Officer. Mr. Holyoak, you may proceed.
Chet Holyoak: Thank you, Mike, and good morning to everyone. On behalf of the Gold Resource team, I would like to welcome you to our conference call covering our third quarter 2025 results. Before we begin the call, there are a couple of housekeeping matters I would like to address. Please note that certain statements to be made today are forward-looking in nature and, as such, are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings. Please note, all amounts referenced during this presentation are in U.S. dollars, unless otherwise stated. Joining me on the call today is Allen Palmiere, our President and CEO. Following our prepared remarks, we will be available to answer questions. This conference call is being webcast and will be available for replay on our website later today. Yesterday's news release that was issued following the close of the market, and the accompanying Form 10-Q have been filed with the SEC on EDGAR and are also available on our website at www.goldresourcecorp.com. I will now turn the call over to Allen.
Allen Palmiere: Thank you, Chet, and good morning, everyone, or afternoon, I guess technically. I would like to thank you for joining our third quarter conference call. I would like to address a few points first, then I will follow that up by addressing operations, followed by Chet addressing the financials. Following these remarks, I'll make a few close comments, and then we will take questions. I'm pleased to tell you that we are seeing the early signs of a turnaround at our operations in Mexico. As you may be aware, a year ago, we were facing significant challenges. We knew it was necessary to address these challenges, but we were capital constrained. As we are able to raise funds, we began slowly implementing our plans and made some management changes. There were major issues to address, lack of development severely constrained our production, our mining fleet needed renewal and availability further constrained our production. Another issue related to the size of our mining equipment. Our fleet was sized for wider veins, which resulted in inappropriate mining methods having to be employed and [ resulted in excess dilution. ] As part of our fleet renewal process, we have and are acquiring replacement equipment to address aging assets. Several units appropriately sized for our projected mining requirements have already arrived and are operational. As previously announced, to reduced production risk, we engaged a mining contractor to assist in mine development and to focus on mine development and production from the new Three Sisters area. Development by the contractor continues to progress well with 1,435 meters completed in the Three Sisters area. Their progress has validated our expectations, revealing good vain widths and high-grade mineralization. Notably, this work has enabled the commencement of production from the Three Sisters, marking a significant milestone. The material extracted from this zone is high in precious metals, reinforcing our confidence in the area's potential. With properly sized equipment, we are changing our mining methods in narrow vein zones. One key improvement has been introduction of cut and fill for approximately 40% of our stopes, which is more profitable in narrow banding applications. By reducing dilution, this method results in lower tonnes mined while delivering the same metal units to the mill. Lower transportation, crushing, grinding and processing costs, coupled with higher recovery, results in higher profitability. In addition to the operational improvements we've discussed, we're also benefiting from record high metal prices. While our strategy does not depend on elevated pricing, these market conditions are certainly contributing to a stronger economic position. This added momentum supports our efforts as we continue executing on the plans that we laid out earlier in the year. I would like now to provide an update on the operations. During the quarter, the operation unfortunately recorded several lost time injury incidents, which, while concerning do not reflect our long-standing commitment to maintaining a safe and healthy workplace. In response, we have engaged an external consultant to conduct comprehensive safety assessment and audit. This initiative will help us identify operational risks, evaluate our current safety maturity and develop a proactive plan aligned to our 0 accident mindset. Despite a challenging quarter driven by extensive mine development activities, our team implemented key adjustments to mining methods, particularly in the narrow Arista veins and Three Sisters areas to reduce dilution. These changes yielded measurable results, resulted in higher production volumes and enhanced ore grades delivered to the plant. As a result, metallurgical recoveries across all metals exceeded prior quarters. To support our growth strategy, we successfully acquired specialized narrow vein mining equipment, which has improved selectivity and operational control. While we await arrival of the third filter press, the dry stack tailing system, we completed several upgrades at the filtration plans. These enhancements have increased productivity per cycle, allowing us to maintain a steady milling rate of approximately 1,350 tonnes per day on those days that we operate. Permitting and rehabilitation efforts resumed at the alteration line with commissioning targeted for early Q1 of 2026. Mine development and exploration drilling remain critical to sustain production and expanding our resource base. Continued support from mine development contractor and 2 diamond drilling contractors is essential to advance some resource to reserve conversion pipeline. I'll now pass the presentation over to Chet to discuss the financial results.
Chet Holyoak: Thank you, Allen. As we have mentioned in the past, and as you can see in reading our current Form 10-Q, 2025 has been a difficult year. I do not want to rehash all the information in the filed report, but there are a couple of points that I would like to make. We concluded the third quarter with a strong cash position of over $9 million, reflecting both our success in capital raising efforts and disciplined cash management. In addition to this cash balance, as previously noted, our production ramped up significantly towards the end of Q3. We completed multiple shipments in late September were still in transit at quarter end. As a result, the associated revenue was recorded under accounts receivable, with cash collections occurring in the first few weeks of October. Importantly, we also showed mining gross profit during the quarter, a key milestone that signals meaningful progress on our path back to profitability. While our cash cost per gold equivalent ounce and all-in sustaining cost per gold equivalent ounce remain above our long-term targets, we are encouraged by the downward trend that was shown during the third quarter. As production efficiency improves and the quality of mine material increases, we are seeing a corresponding reduction in related cost per equivalent ounce. It is also worth highlighting that the current environment of elevated precious metal prices is positively impacting our operations. The precious metal content in our material, especially in silver has increased, which is contributing meaningful -- meaningfully to our cash flow and overall financial performance. As previously discussed, many of the operational challenges we faced earlier this year stemmed from insufficient underground development, which limited access to multiple mining faces and higher-grade zones. To mitigate these issues and support long-term growth, we made significant capital investments in both underground development and exploration throughout the year. Specifically, we invested over $2.6 million in underground development and more than $6.5 million in underground exploration development, mainly in the Three Sisters area. These investments are already yielding results. As noted, we now have access to multiple mining faces and production has commenced from the Three Sisters area. We will continue to invest in developing and exploring these areas to meet the long-term plans that we have for the mine. I will now pass the presentation back to Allen for his concluding remarks.
Allen Palmiere: Thank you, Chet and thank you all once again for joining us today and your continued support. It's encouraging to be able to share positive developments, and we're optimistic that the momentum we're experiencing will not only continue but strengthened through the remainder of this year and into next. We're beginning to see the tangible benefits of executing the strategic plans we outlined earlier this year. I'd also like to take a moment to address the Back Forty Project. As you're aware, lack of capital has prevented us from advancing the project. With the improvements at our mine in Mexico, we are now able to fund the permitting process and complete feasibility study, advancing this exceptional project towards a production decision. We will expect that this work will commence in the next couple of months, and we will be keeping you posted on a regular basis. With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jake Sekelsky from Alliance Global Partners.
Jacob Sekelsky: So just starting with the development work at Three Sisters you were just talking about, are you able to quantify the level of throughput you're targeting from here, I guess, as we head into 2026?
Allen Palmiere: We're heading into 2026, we're anticipating that between 40% and 50% of our total production will be coming from the Three Sisters. The balance will be split roughly equally between Arista and Switchback.
Jacob Sekelsky: Okay. That's helpful. And do you think you'll hit that 50% balance from Three Sisters in Q1? Or do you have a time line to kind of get to that?
Allen Palmiere: We're anticipating it actually being at least 40% in Q1, potentially higher with the progress that the contractor is making. And certainly by Q2, we'll be at that run rate. At the latest. I'm anticipating it earlier.
Jacob Sekelsky: Got it. Okay. And then just from a high level, I mean, we've seen base metals rally the last few months. Any thoughts on hedging to kind of lock in some of those higher credits at these levels?
Allen Palmiere: It's something that we consider on a regular basis, Jake. On a fairly regular basis, we go out, get quotes for [ callers ] primarily. We've been reticent to hedge in the past, but with metal prices where they are, it's something that we are actively considering. And I'm not going to say we're going to hedge all of our precious metal by any stretch of imagination. But zinc is pretty strong, copper is pretty strong. And by underpinning those, it will help us with surety in achieving our cash flows.
Operator: Your next question comes from the line of Heiko Ihle.
Heiko Ihle: Can you guys hear me all right?
Allen Palmiere: You're perfectly clear Heiko. Good to hear from you.
Heiko Ihle: Perfect. I'm standing in the lobby of an office building, waiting to go into a one-on-one. So I apologize for the background noise. In your press release, you talked a bit about receiving some used equipment at site. Can you elaborate on what exactly has been received, what you're still waiting for? How much you paid for it and how you paid for it? And also maybe just maybe quantify the uptime delta that you had compared to what you had before?
Allen Palmiere: The what Delta, Heiko,sorry?
Heiko Ihle: The difference in uptime that you have now versus what you had before with the older...
Allen Palmiere: Availability. Okay. Chet, I don't know if you have the expenditures at your fingertips, do you?
Chet Holyoak: I do not have them right at my finger tips.
Allen Palmiere: Okay. Directionally, Heiko, we've spent probably $4 million on new -- it's not new equipment. There's a blend of new and used equipment. We've received [ just 2 ] 2.5 yard scoops and that's specifically for the narrow vein. We received a 6 -- acquired a 6-yard scoop to replace 1 of the old ones. And we have a jumbo that we have received. We're still waiting for a narrow profile jumbo for the narrow vein mining applications. But I would anticipate that by the end of this month, we should have most of our mining equipment operational, on-site and operational.
Heiko Ihle: Fair enough, fair enough.
Allen Palmiere: One thing we -- sorry, I just want to elaborate a little bit more, Heiko. The contractor, of course, brought all of their own equipment in. And it's a blend between narrow vein and long-haul equipment. So they've got a couple of small scoops and about 6-yard scoops. And they've got quite a large inventory of equipment. So they're able to bring in what they need on demand. That has freed up our equipment to focus on Arista and Switchback.
Heiko Ihle: Fair enough. Okay. That makes sense. You talked a little bit in the -- go ahead?
Allen Palmiere: I forgot to mention the availability on the new equipment, and it's running north of 80%.
Heiko Ihle: Okay. So that's probably quite a big change to what it was before. And I assume the old stuff, like at least some of the spare parts can be scavenged in like 3 loaders turned into 1, right?
Allen Palmiere: That is exactly what we're doing. The old stuff is parked, and then we salvage all usable parts from it and scrap the frame and anything that's unusable.
Heiko Ihle: Fair enough. Can you walk us through the impact of cut and fill mining, like the method on cost per tonne? I mean, obviously, dilution improves, but do we need to make any amendments to our model based on that change?
Allen Palmiere: If you have to make amendment cycle, the net result would be an increase in revenue per tonne mined. The cost, historically long haul, is running in the low 40s. Cut and fill is running low to mid-50s per ton. But the big change, of course, when we were long hauling the narrow veins, we were unfortunately experiencing dilution in excess of 40%. By properly constraining the cut and fill, and we are throwing in a bit of resuing just to ensure that we get lower dilution. We managed to bring dilution in those areas down to 13% to 17%. So we're moving 25% less material to the mill, but we're producing -- moving all of this, your mining cost is up directionally 10%, 15%. But the volume moved is down by 25% for the same revenue generation or better generation because the delivered head grade is higher. So our recoveries correlates with grade, we're getting better recoveries as well. Net-net, it's a significant improvement.
Operator: At this time, there are no further questions. I'd like to turn it back over to management for closing remarks.
Allen Palmiere: Thank you, Mike. I do want to thank everybody for joining us today. I do want to stress the importance of what we are seeing in terms of a turnaround at the Don David mine. I'll put it in context a little bit in that July was a terrible month. It was terrible because we were in the midst of converting from long haul to cut and fill in a number of areas of the mine, necessitating additional development. But as we got into August, things approved. September, we significantly exceeded our forecast in terms of tonnes produced. I'm happy to tell you that in October, we significantly exceeded our forecast in terms of tonnes produced, and I'm expecting that to continue for the balance of the year. So the turnaround is very much in hand, and I expect to be able to tell you when we next talk that we have seen very significant improvement sustained and looking forward to additional proven to the future. With that, I will thank you once more for joining us, and look forward to speaking to you, if not sooner, for year-end results. Thank you.
Operator: Thank you. This does conclude today's conference call. Thank you for attending. You may now disconnect your lines.